Marissa Wong: Good afternoon everybody and welcome to CLP’s 2022 Interim Results Briefing. I’m Marissa Wong, Director of Investor Relations. And I am your host today. Which will be delivered today by CLP Holdings’ Chief Executive Officer, Mr. Richard Lancaster; and Chief Financial Officer, Mr. Nicolas Tissot. We lodged our 2022 interim results announcement with the Hong Kong Exchange around mid-day today. The announcement and this analyst briefing are now available on our website. This even is also being recorded and will be available on our website later today. Before we begin, please be reminded to raise the disclaimer on Slide 2 and for today’s agenda, we’ll follow our usual practice and hear from Richard and Nicolas and this will be followed by a Q&A Session. For participants, you'll all get a chance to ask questions. For Zoom participants, please use the raised hand icon to ask a live question or send a written question using the Q&A button. If you're joining by webcast, please submit your questions through the Q&A inbox at the bottom right hand side of the screen. Preference for live questions will be given to research analysts covering CLP, and we'll try our best to get to all your questions. With that, I'll now hand over to Richard to commence the briefing. Thank you, Richard.
Richard Lancaster: Thanks, Marissa. And good afternoon, ladies and gentlemen, and welcome to our 2022 interim results presentation. Last 18 months have demonstrated just how integral energy is to our lives. This was the case during COVID where economies were locked down and we continued to power homes and businesses. And we're seeing it today with the war in the Ukraine impacting the affordability and the reliability of energy supply around the world. Despite some of the most challenging times this industry has ever seen, we've delivered solid performance in Hong Kong and dependable earnings from our clean energy portfolio in Mainland China. This is a testament to plan diversification, investments, and a focus on resilient and reliable energy systems in our region. However, reflecting these demanding energy markets, our thermal operations in Mainland China and Taiwan, have been impacted by high international coal prices. And in addition, extreme market conditions, volatile wholesale prices and low generator availability of driven earnings materially lower in Australia. As the energy transition continues to reshape our industry, our commitment to lead and invest, the decarbonization of our operations is even more clear. A decisive step in this direction is the strengthening of our partnership with CDPQ announced in mid-July, which will support the development of a greener economy in India. Now is the time to accelerate our own transformation with even greater purpose and determination so that we can deliver sustained financial performance in a lower carbon future. With our resilient track record, our strong position in Hong Kong, and our long-term commitment in Mainland China, we're optimistic about the future of energy and the future of CLP. Financially, our Hong Kong and Mainland China businesses reported solid performance. At the group level, international commodity prices and the impact of market and operating conditions in Australia led to significantly lower earnings. Before factoring in the impact of Energy Australia's unfavorable fair value movement, the group reported half year operating earnings of $4.1 billion around 25% lower than last year. Adding in the unrealized accounting losses from these fair value movements, operating earnings were a loss of $3.8 billion. The Board has kept the second interim dividend constant at $0.63 per share. This is in-line with the first interim dividend of 2022 and it's the same as the first two interim dividends last year. Based on the share price at the end of June and the most recent four interim dividends, this provides a yield to investors of around 4.8%. Turning to our operating performance. Over the years, we've established world-class reliability, which has helped power Hong Kong's growth and remains exceptional, compared to most urban centers in the world. An unfortunate cable bridge fire in June led to a loss of supply to some of our customers in the new territories West region. This impacted our unplanned customer minutes lost, which is our main reliability metric. Our team worked very hard to restore service as quickly as possible., however, it's a reminder of the importance of our commitment to reliably service our customers. Electricity generation was lower, primarily driven by lower demand in Hong Kong, lower thermal output in China, and coal constraints in Australia. Now business grew in the first half with more customers and more investments in renewables, batteries, new gas and hydrogen technologies across the group. I'll now hand over to Nicola to take you through the financial results.
Nicolas Tissot: Thank you, Richard, and good afternoon. I'll start with a snapshot of our financial results. Although most of our operations navigated the energy crisis well, these accounts be at the mark of higher and extremely volatile energy prices in Australia. Our diversified portfolio delivered higher revenue of nearly $48 billion, driven by higher tariff and fuel recovery in Hong Kong, as well as high wholesale prices in Australia. EBITDA decreased by 16% to around $10.8 billion, mainly due to lower margins from thermal generation under the pressure of higher fuel costs. With our sustained CapEx, we reported a slightly higher depreciation and amortization and therefore a 27% decrease in ACOI to around $6.1 billion. Our operating earnings were massively impacted by unfavorable fair value movements on forward energy contracts in Energy Australia. In May and June, we alerted the market of this impact on which I will expand in the next slide. Excluding the accounting effect of fair value, group operating earnings were a positive $4.1 billion. After taking into account the fair value movement, it was a loss of $3.8 billion. Total earnings amounted to a loss of $4.9 billion due to the impact of the sale of an additional 10% of Apraava Energy to CDPQ. Capital investment across the group was over [$7.6 million] [ph] as we continued our investments in decarbonization across our portfolio. Drilling into operating earnings and moving down the P&L, our business is our home greater China markets in our home, greater China markets delivered higher results with contributions from Hong Kong and Mainland China increasing by almost $0.5 billion. More than offsetting this were the losses in Australia where we faced considerable operational challenges and the unprecedented volatility of the energy market. The shortfall in generation at Yallourn and Mount Piper in a period of very high wholesale prices led to a loss of $700 million for Energy Australia at operating earnings before fair value level. The contribution from Apraava Energy while marginally lower was steady and we believe that the deepening of the partnership with CDPQ will further drive the pace of our growth in India. For Southeast Asia, booking power stations saw very high gold prices, which will be passed through next year, but impacted margins this year because of the usual annual time lag in the tariff indexation. The increase in other earnings and allocated items relates mainly to spend on our digitalization and other operating capabilities in support of our broader transformation. The mark to market losses on energy derivatives in Australia had a negative impact of $8 billion after tax to illustrate the magnitude of the shock on forward electricity prices in New South Wales, the price for delivery in the second quarter of 2022 had repelled in the first half and the price for delivery in the last quarter of 2023 nearly doubled. I would like to stress that these losses are not related to underlying operational business performance. There are unrealized losses, reflecting the opportunity cost versus prevailing prices at a particular point in time. The original sale price of the hedge will be realized at contract expiry matched against the generation hedge with the fair value losses reversed. There is a slide in appendix giving you all the details. This half year's results includes another one-off, which is related to the sale of an additional 10% in Apraava Energy to CDPQ. As per accounting rules, although only 10% was sold, the $986 million negative impact booked in our offshore accounts also includes a fair valuation of CLP's remaining 50% interest. As announced at signing, the transaction is recorded as an asset held for sale in our first half accounts and a foreign exchange loss will be booked when the transaction closes in the coming months. These two exceptionals bring total earnings to a loss of $4.9 billion to be compared with a profit of $4.6 billion for the same period last year. I will now turn to our business performance. After excluding the impact of the depreciation of the Australian dollar and the Chinese renminbi against the Hong Kong dollar, our ACOI was down by 26%. This was mainly driven by Energy Australia turning to losses due to a shortfall in generation in a period of very high wholesale prices generating a significant loss. Conversely, Hong Kong was dependable at a high level and earnings from Mainland China and India were higher. Finally, we will come back on how high coal prices impacted earnings from our thermal assets in Taiwan and Mainland China. I will now take you through the performance and outlook of each of the business units. Please note that from here, all variances will exclude ForEx. In Hong Kong, we delivered another dependable half year performance, despite the pandemic, the milder weather, economic recession, supply chain disruptions and fuel cost increases. The return on higher net fixed assets reflected our ongoing investment in major decarbonization and network enhancement projects. Scheme of Control capital expenditure continued at the high $4.9 billion for the half, 2% higher than last year. We reported [SEI] [ph] of 5.8 billion, flat compared with last year because of lower allowable tax and interest expense under the scheme of control. Local electricity sales declined by 4.1% notably driven by milder weather in May in sharp contrast to record high temperatures in the same months a year earlier. We made good progress on our major decarbonization projects. This includes the second new combined cycle at Black Point and our offshore LNG terminal where work on the pipeline to Black Point Power Station is nearing completion. Those projects will go into service in 2023. In the short-term, rising fuel costs will significantly impact electricity bills in Hong Kong as in the rest of the world. We will continue to maintain prudent cost controls and a range of fuel sources to mitigate the impact, but significant pressure on tariffs will be inevitable.  Looking forward, we will work with the government on the new 2024, 2028 development plan to ensure an orderly transition towards Hong Kong's climate action plan to become net zero emission by 2050. Overall, for Mainland China, we recorded an ACOI of $1.6 billion, 13% higher than last year. Our nuclear and renewable assets delivered strong financial performance, while high coal prices have impacted the margins of our thermal plants. The positive variance in thermal earnings you see on this slide was largely due to a one-off adjustment last year for the Shandong joint venture assets. The operation of the nuclear portfolio remained more than dependable. However, the strong performance at Shandong may not be repeated in the second, due to the uncertainty in economic growth and power imports into Guangdong. Going forward, we will pursue more non-carbon investments across Mainland China and have already made good progress this year securing development rights on new renewable energy projects. We will continue to use all the options available to mitigate the impact of high coal prices at Fangchenggang. We will also continue to explore investment opportunities in energy infrastructure projects and deploy innovative technologies and business models to capture emerging opportunities in the energy as a service space. Turning to Energy Australia's financial results. A combination of stream international and domestic market conditions, as well as constrained generation had a major impact. Mount Piper’s output was penalized by coal supply constraints, while several unplanned outages led to lower generation from Yallourn. As these volumes were hedged, reduced generation resulted in Energy Australia having to settle contracts as the assets were unable to cover the prevailing high prices on the spot market. I will discuss the impact of these unprecedented prices on Australia's results in more detail in a subsequent slide. The loss of margin from Mount Piper and Yallourn was partially offset by our gas fired generators being able to run more, and also by the impact of improved gross margin in the customer segment. However, this could not prevent Energy Australia from recording a loss of just over [HK$1 billion] [ph] at the ACOI level. Looking ahead, in the customer segment, we will continue to support customers with a range of energy services. We expect to see higher cost to procure energy and continuation of intense competition in the retail market. We will also continue to manage the operation of our generation portfolio focusing on reliability and coal supply. The coal supply to Mount Piper and the availability of Yallourn and expected to improve and we are already seeing some positive indications, although we expect market conditions to remain challenging in the second half. In the medium-term, if high wholesale prices continue, it should improve financial results, provided we can purchase the fuel and generate the electricity as required. As we continue through the energy transition, we will proactively explore partnerships to continue our move to cleaner and flexible assets as we do with the Wooreen battery, Kidston pumped hydro storage and Tallawarra B gas/hydrogen [indiscernible]. I think we have a small technical issue. I propose we move straight to – we move straight to the cash flow and financial situation slides, please. Finally, we have some comments on the specific situation we had in Australia. As I just mentioned, I would like to provide some context on what has hit the performance of our two major generators in Australia using the example of Mount Piper. Due to very disturbed coal supply, generation at Mount Piper was severely constrained. The chart on the left shows the shortfall of generation volume from Mount Piper in the first half of 2022 versus the first half of 2021, severely impacting its gross margin. In addition, forward contracts for 2022 were struck in advance at the relatively low price prevailing at the time of hedging. In a confluence of unexpected events, the national electricity market went through an abrupt inflection during the second quarter of 2022, as illustrated in the chart on the right. Mount Piper was therefore required to settle its shortfall position against contracts sold in the market at these extreme sustained high prices. This resulted in a total $1.5 billion reduction in gross margin for Mount Piper, as shown in the ACOI chart. Our other major generator, Yallourn, also experienced an unexpected shortfall in generation. While the course was not linked to coal supply constraints, but to unplanned outages, it also had a significant HK$940 million negative impact on gross margin. Now, turning to Apraava Energy. On the twelfth of July, we signed and announced the sale of an additional 10% stake thereby strengthening our partnership with CDPQ. Once completed, we will be equal joint owners and Apraava Energy will be deconsolidated from CLP accounts. It will enable Apraava Energy to grow on its own financial resources and reduce pressure on CLP Holdings balance sheet. During the half, the KMTL transmission asset acquired at the end of 2021 started to contribute to earnings. Generation from our renewable portfolio was also higher, however, it was more than offset by higher O&M cost. At Jhajjar,, while operations have been stable, our earnings were impacted by a lower tariff under the terms of the PPA. In the near-term, the business will focus on continuing the construction the Sidhpur wind project in Gujarat, which is expected to complete in the second half of this year. And looking forward, supported by CDPQ and CLP, Apraava Energy will participate in India's move towards lower carbon future, investing in renewables, transmission, and smart meter infrastructure. Operationally, our assets in Southeast Asia and Taiwan continued to perform reliably However, there was a $125 million loss driven by a three-fold increase in coal prices for the Ho-Ping power station. As a reminder, the energy tariff at Ho-Ping is adjusted annually, taking to account prior year coal prices. Given the high coal prices in 2022, we will see higher tariffs next year. Operations were stable at Lopburi Solar Farm in Thailand, but its contribution was lowered by a set down in PPA starting December 2021. Looking ahead, Ho-Ping will focus on optimizing fuel costs when international coal prices are expected to stay high. Moving to the cash generation and liquidity of the group. Cash flow generation was negative in the first half, mainly due to extremely high margin deposits for Energy Australia's hedges with a negative contribution to cash flow evolution of HK$5.8 billion. In addition, EA operational cash flow evolution, as well as unfavorable movements in the [fuel close account] [ph] due to higher fuel costs, the tariff stabilization fund due to lower electricity sales under the SOC resulted in a total cash outflow of $3.4 billion for the half, compared to a 6.1 billion inflow last year. The group increased its capital investment to $7 billion within this total $5.1 billion was for investments in the energy transition and to improve the transmission and distribution networks in Hong Kong. We also spent around 2 billion towards a cleaner portfolio in Australia, Mainland China, and India and made initial payments for our new head office in Hong Kong. Dividend payments for the half were maintained exactly at the same level as last year at $4.6 billion. Our financial position continues to be robust, despite the temporary liquidity requirements in Australia. Our net debt to total capital ratio remains healthy. We have significant undrawn debt facilities and cash in hands and strong credit ratings. Net debt has increased to $59 billion, due to significant temporary cash deposits required in Australia, as well as capital expenditure for large scale infrastructure projects in Hong Kong. As a result, our net debt to total capital ratio has temporarily increased to 32.7%. In this context, our actions to raise new bank facilities both in Australia and in Hong Kong allowed the group to maintain strong liquidity with undrawn bank facilities of $22 billion, and bank balances of $6.2 billion at the end of July. We are well placed in the current rising interest rate environment given our extended debt maturity profile, our high share of fixed rate debt and our diversified sources of funding. As a matter of fact, our blended average interest rate for the first half of 2022 was slightly lower than last year. S&P, I've just reaffirmed CLP Holdings A credit rating with stable outlook, nothing the funding needs in Australia should be temporary. To conclude, Australia's extraordinary operating conditions took their toll on our numbers, but our core Greater China businesses navigated well in the global energy crisis and we continue to consistently execute our strategy to decarbonize, grow, and transform. With that, I'll turn it over to Richard.
Richard Lancaster: Thank you, Nicolas. There are three areas of focus for us that will provide us with leverage in this rapidly changing and turbulent world and it's in these three priorities that will change the way that we drive continued growth and financial performance. It revolves around strengthening the core and accelerating the new. It’s first and foremost about leading in energy by investing in low carbon assets with capital and cost discipline. This is our core purpose and we're already well on our way in this regard. We're also building on top of our solid foundation and extending into new growth opportunities providing new energy products and services to deliver cleaner energy to a growing world. We expect attractive returns and we see the potential for increasing the scale of our businesses in future. And to meet the challenges of the energy transition, we're empowering our people to decarbonize, grow, and transform CLP with the benefits of customers and the communities that we serve. CLP is a leader in climate action. We were the first major Asian headquartered utility to commit to a clear decarbonization roadmap. Around two-thirds of our earnings already come from carbon free activities. Last September, we announced the accelerated complete phase out of our coal-fired generating assets, bringing it forward to 2040, a decade earlier than we previously pledged. Achieving this will require us to leverage our strengths in the sourcing and production of energy, which covers traditional, low carbon assets, and supporting infrastructure to continue to power the world. This requires planning, lots of coordination, a lot of investment, and a lot of very careful work. Every thermal megawatt that we plan to take offline needs to be replaced with a lot more renewable storage and additional transmission networks to connect the systems together. And as you can see on this chart, we need to do the top bit first and get it right before we can retire our coal-fired power stations. And all the while, we need to be making sure that the replacement system built around carbon free power is safe, reliable, secure, and affordable. Our mission to net zero is clear and on the next slide, I'll talk about our plan for Hong Kong.  To get a business such as CLPs decarbonize as quickly as possible is really important because we provide an essential commodity to 80% of the population of Hong Kong. We only have 30 years to achieve net zero. Our planning needs to start now and it needs to start now using reliable, proven technologies. There are four critical legs to achieving our net zero emission.  First leg is to replace coal as our primary source of fuel with diversified supplies of gas. A large scale gas-fired generating units are a key stepping stone to reducing our carbon intensity. Since natural gas produces half the carbon dioxide, a unit of electricity as coal. So, by 2023, we'll have built the replacement for an entire coal-fired power station at our Castle Peak site, allowing us to progressively shut down the coal plant. Next, it's to supplement existing supplies with as much renewable energy as possible. And this will be done through rooftop solar and offshore wind investments. Offshore wind is now an economically viable technology for Hong Kong together with the growing demand for solar could contribute to somewhere between 7% and 15% of our energy mix. Hong Kong's economy relies completely on imports and so we need to also think regionally. 36% of our power already comes from Daya Bay Nuclear Power Station in Guangdong, strengthening the interconnection between Hong Kong and Mainland China and upgrading the grid here will be critical success factors to importing more non-carbon energy. Finally, as the technology and supply chain becomes more mature and we can access hydrogen in enough quantities, we'll be able to repurpose our Black Point gas power plants to take hydrogen as the primary fuel. So, we've got a timetable to achieve net zero by 2050 and all the while directly connecting with our customers to provide them with energy efficient solutions to help them with their decarbonization goals. Earlier I talked about accelerating the new and my last two slides will talk about the what and the how. We've been ramping up our new energy businesses across the value chain. Initially, this is in sectors and geographies where we already have the capabilities, the assets, and the customer relationships to lead the energy transition and the electrification of industries. This means moving from selling electrons to serving our customers decarbonization and changing energy needs. On the electrification side, we've made positive progress in markets where we've established infrastructure to help decarbonize energy intensive industries in the areas of shipping and ports. We've begun engagement with industry and government on LNG bunkering services. This is a significant and exciting transition to a cleaner fuel, which capital and expertise is going to be required to continue Hong Kong's status a shipping hub. For E-transportation, we formed a new partnership with the Qingdao TGOOD Electric Company to provide smart charging networks and accelerate green transport in the Greater Bay Area. Promoting the wider use of electricity in place of other carbon emitting forms of energy across industries will connect us to many significant opportunities. On the Energy Transition side, many of the largest and most energy intensive companies have made commitments to achieve net zero. Given our deep expertise and our competitive advantage, we're well placed to support multinational companies with their decarbonization ambitions. We have a range of solutions. Some launched this year, but we've bolted on new capability on top of our infrastructure expertise to help customers manage their energy and sustainability goals. An example of this is our plug in battery solution for construction sites, helping construction companies control their energy consumption. We've also developed digital platforms to expand our range of energy transition solutions into adjacent areas such as waste management and recycling. A new competitive landscape is emerging in the energy businesses. And we're responding and scaling up these opportunities through a combination of alliances with local and international partners, disciplined control of our cost base, and enabling our people with the tools and the capabilities for us to move quickly and to execute. And to the how we will execute? Well, at the heart of our determination to decarbonize and grow is to leverage the best of who we are and what we have and adapting to become even more transforming ourselves into the utility of the future. We will be an organization that engineers a low carbon future for Hong Kong, the Greater Bay Area, and the Asia Pacific as a trusted partner. One that provides cutting edge solutions as a leader in the energy transition as well as clean, reliable, and affordable power. One that offers our people even greater opportunities, empowering them to grow their capabilities, to take smart risks and drive a dynamic new culture, while preserving our shared values. One that delivers growth and long-term value, one that champions sustainability at the core of our strategy. We've been transforming ourselves in the background, making sure that we have the right capabilities, the processes the assets powered by best-in-class technology, processes, and platforms so that we can be a trusted energy provider for another 120 years. As we're standing at a time when opportunities intersect, I'm optimistic about the future at CLP. Our proven engineering expertise, our discipline of maintaining cost and capital, and now with our focus to decarbonize, grow, and transform, we are, ladies and gentlemen, taking bold steps in making energy for a brighter future. So thank you all, and we will now take your questions.
A - Marissa Wong: Thank you, Nicolas. Thank you, Richard. I will now open the session to Q&A. [Operator Instructions] So, there are a few questions on the webcast. one from Pierre Lau from Citi. What is your progress of the potential sale of Energy Australia? If no state could be sold in the near future, how would this alter your business development in Australia? Richard, can I pass that to you.
Richard Lancaster: I'll take that question. Thank you for the question, Pierre. It remains a focus for us to grow Energy Australia to invest in the technologies that we've described in our presentation. These are technologies we believe will not only be a value to Energy Australia, but also to the market generally. The storage technologies, the firming generation capacity, that will require capital and we are looking for partners to join with us in those investments. We are not specific about how those partners can work with us. They may be at a project level. Maybe at a segment level, or maybe at an enterprise level. So, we are exploring how to bring partners into our business. It has been, as you will see from our results, a very challenging and volatile environment in Australia. Our focus has been on managing the business in very uncertain and very challenging circumstances, but our long-term goal remains the same. We would like to grow this business and like to work with partners.
Marissa Wong: Thank you, Richard. Another question from the Zoom webcast from [indiscernible]. Hi, management. I'd like to ask two questions about Australia. First is your generation enough for retail demand from second half of 2022, even if your Yallourn is under maintenance? Secondly, do you consider divestment of EA, if so any return requirement from your side?
Richard Lancaster: Perhaps I'll take that question as well. Thank you, Grace. And yes, we have enough generation for our retail demand. However, if our plant is not running at certain times of the day when prices are high, that can be a very painful experience. So, the important thing is that your plant runs when prices are high and when it's needed. Unfortunately, with both Mount Piper and Yallourn, we did face issues, different set of issues, as Nicolas has explained. At Mount Piper, it was the coal supply, but everybody in the Australian market was struggling to get coal. It was in such high demand. The weather didn't help as well because railway lines were washed out. So, challenges of getting coal in the first half were very severe. With Yallourn, we did have a series of forced outages that they were a plant issue. We are working very hard to remove those issues and to make the plant run as reliably as we needed to. So, we do expect if our performance and if the plant does run well in the second half, then yes, we do have enough generation to cover our retail market.
Marissa Wong: Thank you, Richard. There is a live question and it is from Evan Lee from HSBC. Evan, if you can hear me, please go ahead.
Evan Lee : Hi. Can you hear me?
Marissa Wong: We can. Loud and clear. Thanks, Evan.
Evan Lee: Great. Thank you. Thank you, CLP management. I would have a couple of questions if you may. We've seen, it seems like the forward electricity prices in Australia seem to have fallen in July, any comments about demand supply in the electricity market at the current environment? And also is it fair to say that the fair value losses that we've incurred in the first half could be somewhat reversed? Should that situation remain the same in the second half?  That would be my first question. And then the second question along that, obviously, is to see if you have any updates on the availability for Mount Piper and Yallourn in July or even up until the recent state in August? And I might well, I will also have a third question, if I may. In your income statement, we've seen in other earnings and allocate items, we've seen an increase of the cost or expense item from [$362 million to $575 million] [ph] first half of last first half. What is the main increase on that cost or expense item? Like mainly, you know, if we could have any details. That would be all. Thank you.
Richard Lancaster: Thank you, Evan. I might just perhaps take the first question and then Nicolas, if you take the question around the availability and if there's any update that we have on July numbers and also the allocated items, but prices in Australia, I talked in my last answer about coal supply being constrained. The weather, the heavy rainfall contributed to that. There had been unplanned outages, not just on our plant, but other generating plants in the first half of this year. With the rain, there was also lots of clouds and that affected solar production. So, a combination of factors came together to cause high prices. You are right that there has been some softening of prices in July. That can be explained by high wind generation. So, this is a market, which is going through transition. There is a lot of new renewable energy on the system. That is great when the sun shines and the wind blows, but that doesn't always happen. And so, it is a market that's characterized by quite high levels of volatility in terms of pricing, but you cannot count on the wind blowing all the time. You still need an element of base load generation and storage in order to stabilize prices. And that storage is still yet to come into the system, which is where we feel there is a good opportunity for the market to build storage capacity that will help manage supply and demand and help stabilize prices. So, Nicolas, if you'd like to take Evan's second and third questions, please.
Nicolas Tissot : Sure. And I'm just following up on your answer, Richard, I think what we can say is that our exposure to forward prices is going to somehow roll-off because a number of the contracts will roll off. So, on your question on whether some of the position will be reversed, yes, there will be a roll-off, whatever the evolution of the price is, the current position we have and which is mark to market at the end of June. We'll somehow roll-off and we expect a substantial part of our exposure to roll-off by the end of the year. On Mount Piper and Yallourn availability, as you understood, the Mount Piper issue is a coal supply issue. The whole of the new South Wales market is very constrained on coal supply. I'm happy to share with you that we could secure more coal for Mount Piper in the last few weeks or months. And therefore, yes, situation at Mount Piper has improved in the last months, but we are still with a very challenging coal supply in new South Wales globally. So, this is something we will need to manage over time. At Yallourn, the nature of the forced outages was relating not to major failures. It was rather limited problems with – mostly with pressure parts and these problems can be fixed reasonably rapidly and that's what happened. And we could put the units at Yallourn back ground rather rapidly. And this is why I gave an indication that we have some improvement. Again, we need to manage those issues over time and being able to generate more for a few weeks doesn't mean that all the issues are entirely resolved, but we are working actively on it. 
Marissa Wong: And the income statement, Nicolas?
Richard Lancaster: On the unallocated.
Nicolas Tissot: Yes, the unallocated expense evolution. This is mostly relating to the fact that we have engaged in a global transformation. One important component is the digitalization of the company. We are about to renew our ERP system. We are investing and spending on digitalizing the company. And more broadly, we are making – we are spending more money on what I would call P&L investments in order to improve our capabilities in a number of areas and make the company more efficient in the future, but this starts with a, sort of initial P&L investment that you see reflected in the higher unallocated expenses that you pointed out.
Marissa Wong: Thank you, Nicolas. Question from Stephen Choi from JPMorgan. Three-pronged question, and I'll just read it out. Thank you very much. I'll ask three questions. Number one, are we facing a narrowing of fair value loss for the Australian power contracts? Given the recent decline in power prices, if you can let us know the latest amount of loss? Number two, we noted a substantial increase in the balances for derivative financial instruments for both current assets and liabilities, can you kindly explain the reasons behind that? And lastly, earnings for Australia business improved and we cited the gains from electricity hedging practices, can you please elaborate on this, and if you can let us know operating outlook for the retail business in second half?
Richard Lancaster: I think Nicolas, those are very specific questions and you might be best to answer those.
Nicolas Tissot: So, I think on the fair value, we already covered a similar question and I talked about the roll-off and the fact that the position will significantly reduce in the future. Of course, if in addition prices were to be lower, that will reduce even more the exposure. Talking about balance sheet, some amounts in the balance sheet, it's basically reflecting the fact that a number of these assets and liabilities are connected to the prices we see in the market. And as we explained, prices have skyrocketed over the period. So, this is reflected with a higher level of assets and liabilities and the bigger balance sheet, probably for the group. On your third question, which is around earnings for Australia business in improved and electricity hedging practices, I think what we indicated is that when you look over a longer period of time, so, in the medium to long-term for Energy Australia, higher prices would translate into improved earnings. Of course, subject to our power plants being fully available and specifically from Mount Piper subject to Mount Piper being able to source the appropriate level of coal, yes, but in principle, the higher prices we are seeing in the market will help the rebound of earnings in the longer run once the current hedging has rolled off.
Marissa Wong: A comment on the retail business, Nicolas?
Nicolas Tissot: On retail business, we are with the situation, which is a bit the opposite of the situation we see on the generation side because we have hedges also on that side and hedges are deeply in the money. So that's one of the reasons why despite the market we had and the prices evolution we had, we could improve our earnings on that segment. Again, similar situation, the hedges will progressively roll-off. And we will again be exposed to the evolution of the market, but we will continue our practice to hedge our position to limit the volatility of our earnings. and you just don't see that in the P&L because on this side, this is the magics of accounting rules, the hedges are booked – and the mark to market of the hedges is booked in other comprehensive income, so you don't see it in the P&L, but it's a position, which is currently deeply in the money.
Marissa Wong: Thank you, Nicolas. Moving back to the last question. We've got one from Ken Liu from UBS. Go ahead, Ken.
Ken Liu: Hi, Marissa. Hi, Richard and management. Thanks for the presentation. I have two questions on Australia. The first one is on Yallourn. Please correct me if I'm wrong. I read in the media saying that the plant could be closed earlier. The expected life was originally 2032, but then there was media reports saying that it could be shut down in 2028. Just wondering what's the carrying value of Yallourn right now? And would there be any impairment risk of this asset?  And the second question is, going back to the hedging side, unless worried about the non-cash hedges fluctuation on cash changes to the fair value part, but I do worry about how much hedge that we provide and how long the duration of the hedges are? Because given we have the intermittent supply from Yallourn and also Mount Piper, it looks like we are overly contracting our volume, which essentially in a high market price situation we need to, you know, source from the market and fulfill our, you know, over contracted part. So, is there any solutions that we can lower our hedges so that we don't necessarily fulfill so much contract that we have to buy from the market and we suffer from negative gross margin, essentially on that part? That's the second question. Thank you.
Richard Lancaster: Perhaps if I kick off and then you could supplement, Nicolas, but thank you for the questions, Ken. You're absolutely right that Yallourn’s life, we have agreed to close that earlier in 2028 and brought that forward from 2032. So, we do have commitments to ensure it runs reliably up to 2028 and to work with the local community to make sure that it's – there's some investment in reskilling for the community. And we also have commitments to build the replacement, which would be a large battery to replace the generation capacity. We certainly because of the accelerated life, the depreciation is going to be higher over the next few years, but we will do as normal with accounting and impairment review in each results announcement, and there was nothing that we felt was needing to be declared for your loan in these results. Your second question on the hedging positions, yes, in – perhaps in retrospect, if you knew prices and you knew exactly when your plants would be not performing, you would adjust your hedging, but that's not how the market works. We have to build a portfolio of hedges over a couple of years. So, we'll take time to make changes. We would normally hedge a significant percentage of our output, which is the right thing to do when prices are low because that gives us certainty around the price that we get for electricity. So, those hedges do provide an important purpose for us. However, this has been a very unusual set of circumstances. We have never in history of the Australian energy market, seen the market operator closing down for a period because of the high prices and the effect that was having on both the spot and the futures markets. So, very unusual circumstances. We can make adjustments, but we can't make adjustments in the short-term. And it will take a little bit of time to work those through.
Nicolas Tissot: Thank you. And regarding Yallourn carrying value, I'm afraid I don't know by heart the carrying value of the Yallourn specifically, but just to give you some perspective on your question. We are basically testing the value of our generation segment on the one-hand and our retail segment on the other hand. That's how we approach every – more or less every six months our potential impairment risk. And regarding our generation – cash generation units, which is [indiscernible] energy segment in Energy Australia. We have reviewed potential impairment triggers. We have reviewed potential impact on carrying value. And the conclusion of – at the end of the first half is no impairment is required. This is mainly driven by the fact that with prices, skyrocketing and with looking-forward perspective that prices will be at a higher level. This is actually improving the cash flow profile of our generation segment over the mid to long term. And as a result, the discounted cash flow value of our generation assets has more increased as a result of the recent events, although it has hit the short-term cash flow generation. So, we are obviously testing very seriously any impairment risk every end of periods, and we have concluded that no impairment was required at the end of June 2022. On hedging approach, well understood your comment, we have really a policy to try to eliminate as much as possible volatility of earnings and uncertainty of earnings. That's why we – as was reminded several times by Richard today, we hedge our long energy generation position over one to three years. So, we do that based on a certain forecast of generation, and we always adapt our hedging approach based on the evolution of the market, whether the evolution of prices, the evolution of coal supply, the evolution of technical aspects of managing our plans. So, we, I would say, do our best to always hedge at the right level, but this is not something static. This is something we adapt constantly over time.
Marissa Wong: Thank you, Nicolas. Thanks, Ken. We're just hitting up against the hour. So, I'll ask everyone to not put any more questions. We'll try and get through the rest of these. Simon Lee from Morgan Stanley has asked two questions, one around the latest power generation level for Mount Piper and Yallourn, I think we've probably talked quite a bit about that. And Simon, you can get pretty much up to date information from AEMO in terms of the output of those stations. He's got a second question, given potential rise in U.S. interest rates, why do CLP – why does CLP decrease proportion of fixed rate borrowing given the fixed rate portion has reduced from 61% to 52%?
Nicolas Tissot: I think this one is relating to the short-term funding needs required by the situation in Australia. So, our global direction is towards a high fixed rate portion and that's what we've been constantly doing in the last couple of years. And I think we are up a very high level of fixed rate, but the very significant short-term temporary requirements in Australia led us to mobilize more funding at variable rates, which makes sense for funding short-term requirements. So, this reduction is expected to be temporary.
Marissa Wong: Thank you, Nicolas. Lorraine Tan from Morningstar. First question is around the full mark to market hedges losses, is that reflected in the fuel and other operating expenses in your consolidated P&L? And based on the current outlook, staying put, can I assume that the additional deposit CLP has provided to EA is adequate in other no additional funds is required assuming the current situation does not deteriorate? And then the second part of that question is, what is your average cost of debt currently? And how much do you expect this to move up by in 2023?
Nicolas Tissot: So, on these two questions of your first questions. Your first question. So, on the hedging losses, the mark to market is fully reflected. I can confirm the amounts. I mean before tax, it's HK$11.4 billion, after tax it's HK$8 billion and this is entirely resulting from hedging positions in Australia more or less. So, I think you can easily spot that in the P&L. Now, if yes, if we touched on that one, but if we stay with similar prices as at the end of the period, we definitely expect that the position will reduce because of the roll-off and that some of the mark to market we took at the end of June should reverse. And by the way, same goes for the funding requirements, which are obviously adequate or you cannot operate in the market if you are not able to meet the cash margin goals requirement of the market. So, we have provided for the cash deposits, which were required, and we also that with the roll-off of the position, we will see some return of cash. And actually, as the market come down a bit in the last few weeks, we have already seen some return of cash in Australia following the peak level of liquidity, which was required.
Marissa Wong: And Nicola, just finally the average cost of debt.
Nicolas Tissot: So, we are usually not releasing the exact cost of debt, but I think I mentioned in my comments that it was broadly stable. Actually, it was slightly lower than the average cost of debt was slightly lower during the first half of this year, compared to the first half of last year marginally. And I'm not sure we disclosed the exact amount, but I would say, we get very competitive funding conditions in the market.
Marissa Wong: And last question from Cissy Guan, Bank of America. What is the rationale behind our sale of stake in Apraava? I think, Richard, I’ll let you take that one.
Richard Lancaster: Thank you, Cissy for the question. Yes, we did have a 60% ownership of Apraava. We are seeing good opportunities to invest in India and having a 50/50 partnership we feel is a better platform to take forward for one thing with a 60% ownership that put all the debt onto CLPs balance sheet. So, with a 50/50 partnership, it does give us the ability to leverage better leverage our partnership with CDPQ and we bring the operating knowledge, we bring the experience in the market, and one of the rationales for original sale to CDPQ is to bring in a partner with good financial firepower. So, a 50/50 partnership actually works better for both partners.
Marissa Wong: Thank you, Richard. We have actually hit the hour. Thank you everybody for staying with us and for listening to our briefing. My team and I will be available after this to take more questions. And an archive of this briefing will be available on our website. So, I'd like to thank Nicolas and Richard for providing the briefing and everybody for being on the line, and thank you for your attendance. I will now close the briefing. Thank you.